Operator: Thank you for standing by, and welcome to the Qube Holdings Limited FY '26 Half Year Results Investor Briefing. [Operator Instructions] I would now like to hand the conference over to Mr. Paul Digney, Managing Director. Please go ahead.
Paul Digney: Hi, all. Thank you for joining this morning's call. I'm joined in the room by Qube's CFO, Mark Wratten; and Head of Investor Relations, Paul Lewis. As usual, I'll kick off the call with a summary of our highlights for the half, followed by some comments on the divisional performance. Then I'll hand over to Mark to discuss some key financial items. And then back to me for -- to go through the full year outlook before taking your questions. Starting on Slide 6, results overview. Qube has once again delivered a solid half year result. The financial performance reflects the strength of our business, reflects a combination of organic growth and the contribution from acquisitions recently completed. Activity levels remain mostly favorable across our core markets. And as you've heard before, the diversity of our operations supported growth and helped offset any challenges. Both Mark and I will talk more about the financial results as we get through this presentation. On to Slide 7. We provide an update of the scheme of arrangements here. As you know, on Monday, we announced that the MAM led consortium have confirmed their offer at $5.20 per share per Qube. We have now entered into a scheme implementation deals with the consortium. This is an exciting milestone in the evolution of our business. And MAM's offer underscores the value of our strategy and the quality of our business and our people, most importantly. I'm confident that this transaction will provide a platform for the business to grow and continue to grow while maintaining a strong track record of enhancing supply chains in the regions that we operate. Obviously, the timing is contingent now on regulatory and other approvals, and we're aiming to have a scheme booklet out to shareholders in May so that shareholders will then have the opportunity to vote on the scheme. Returning to our performance for the half and safety performance on Slide 8. Our positive safety performance was sadly marked by the death of a tire fitting contractor at our Narromine Agri facility in October. Qube and the management team has continued to support investigations into this tragic event. During the period with our ongoing focus on safety, our TRIFR continued to improve, decreasing by 21% compared to last year's result. Our LTIFR and our CIFR also improved during the half. The rollout of our BeSafe program also continued. There are some great safety videos worth checking out on our social media networks. Turning to our key markets, Slide 9. Once again, it's clear that strong performance in some areas helped balance out some challenges in others. In Containers, the Australian logistics operations performed in line. New Zealand container logistics impressively performed better than expected and so did Patrick's, performing better than expected also. In Agri, Agri again made a good contribution, which underscores the value of our trading strategy, and an agile integrated service offering to our customers. More automotive benefit from a full period contribution from the AAT Webb Dock West, which is also known as MIRRAT, but was offset by lower than anticipated storage and quarantine services across all AAT terminals. Forestry was relatively stable despite some softer wood chip volumes in Australia, while in New Zealand, we saw a modest uplift in earnings. The resources business was better than we expected due to better volumes and also with better cost controls, which helped offset a major contract ceasing in the period. Energy once again delivered ahead of expectations, except for some delays in renewable projects. And in general, Stevedoring and the other sections on the slide, this was slightly impacted mainly due to unfavorable volume mix across our port operations in Australia. Now turning to divisional performance on to Slide 11. For the operating division, I won't spend much time on this slide as I'll dive into each BU shortly. As you can see from the slide, logistics and infrastructure was responsible for the lion's share of the growth in the half. Turning to Slide 12, logistics and infrastructure. EBITDA profits jumped around 22%. The addition of Web Dock West helped the performance in the period. However, the AAT terminals performed weaker overall due to a decline in high margins and ancillary services, which I mentioned before. Container and logistics volumes were broadly stable across Australia and provided another solid result. The New Zealand performance was better than expected in the half. And with the Nexus acquisition completed in December, we are expecting further New Zealand upside in the second half. The IMEX continued to deliver improved results and volumes as volumes ramped up. And Agri performed well in the period with grain up almost 50% through our bulk channels in the half. Turning to Slide 13, Ports and Bulk. In the Ports and Bulk business unit, it's fair to say it had some mixed performance across its end markets. The Energy business delivered another strong earnings contribution from the oil and gas activities, including the commencement of decommissioning work getting underway during the period. However, in the energy space, we had profit impacts from our renewable sector due to setup costs in Western Australia and some project delays in Queensland. We saw reasonable volume at Stevedoring across most commodities in our ports operation. However, unfavorable product mix in the half did impact earnings and margins. Overall, forestry was relatively stable with a modest uptick in earnings in New Zealand. The bulk activities in resources sectors was better than we expected. This helped offset the impacts of some major projects ceasing and the delays in some new projects coming on stream. And also, the bulk business did benefit from a full period contribution from the Coleman's acquisition, and the initial contribution from the Albany Bulk Handling acquisition. Now on to Slide 14, briefly looking at Patrick. Patrick was better than we originally forecasted, which is pleasing. Market share was relatively stable at 41%, and the EBITDA improved, thanks to a number of things, higher volumes, favorable volume mix and increasing ancillary revenues. And pleasingly, during the period, the business also extended several key customer contracts. I will now hand over to Mark to take you through some of the key financial information, and then I'll get to the outlook after that.
Mark Wratten: Thank you, Paul, and thank you to everyone on today's call for listening in. As Paul has already highlighted, Qube delivered a very pleasing first half set of results. I'll now take you through a few financial slides. Starting with Slide 16, Qube's underlying results. Paul has already covered our Logistics and Infrastructure and Ports and Bulk business units as well as Patrick. A few other points to note include: strong result in our operating division contributed to an increase in group underlying EBITDA of 9.8% over the prior period. Pleasingly, Qube's EBITDA margins, excluding the high revenue, low-margin grain trading business, improved from 10% to 10.6%. As we had guided to earlier in the financial year, this EBITDA improvement was partly offset by an increase in net finance costs which increased by $9 million against the prior period due to higher average debt balances and no interest income on the now fully paid repaid shareholder loans to Patrick. The NPAT share from associates increased by $7.5 million, which was mainly attributable to the great first half result from the Patrick business. At the underlying NPATA line, we delivered $157.5 million, which was an increase of 10.1% over the first half FY '25. On the back of these results, the Board has declared an interim dividend of $0.0535 per share fully franked, which will be payable on the 9th of April. This dividend is at the top end of the Board approved dividend payout ratio, which is 60%. Before leaving this slide, I'll make some short comments on the 2 material nonunderlying adjustments that we reported in our H1 statutory results. The first item is $101.5 million pretax profit on the divestment of our interest in the beverage property, which we announced was sold in December 2025. The second material item of $37.3 million was a reversal of an onerous contract provision relating to Qube's obligations at the time of exiting the Minto Properties, which we divested in January '25. This obligation was successfully resolved during the period, allowing us to now reverse this provision. The original provision was also treated as a nonunderlying item in our FY '25 accounts. Moving to Slide 17, capital expenditure. In first half FY '26, Qube's gross CapEx was $216 million. This is broken down into the 4 major categories on this slide. Qube spent $35 million on 2 small but strategic acquisitions in the first half, being the Albany Bulk Handling business in Western Australia in July and the Nexus Logistics business in New Zealand in early December. The Albany Bulk Handling business has been fully integrated into the Qube, while the Nexus integration is progressing to plan. We also spent $88 million on organic growth-related assets in the category set out in the table below. The major spend was on new bulk storage facilities in Queensland and Western Australia and mobile assets and specialized containers to support new or expanded contracts. The $22 million investment in specialized containers predominantly relates to new contracts with Iluka for the Balranald project and WA Oil for a decommissioning project. In the period, we also spent $88 million of replacement CapEx, mostly on mobile fleet assets and material handling equipment. Finally, we spent $5 million on the 2 Moorebank rail terminals. During the first half, Qube also received proceeds of $163 million from the divestment of assets with a significant amount being for the beverage property, which I mentioned earlier, and some rail rolling stock assets in excess of our business requirements. After all of the above, net CapEx in the first half was $53 million. Taking you now to Slide 18, cash flow. During the first half 2016, Qube's net debt decreased by circa $51 million with the key cash flow items detailed on this bridge. The first half cash conversion, excluding grain trading working capital was 71%, which is a relatively typical result for Qube given the material first half outflows that don't repeat in the second half. Working capital movements for our grain trading business was a positive $29 million for the period to total $117 million at the end of the first half. The first half FY '26 cash flows also included the $53 million of net CapEx that I just spoke to as well as $81 million in distributions received from our associates, mainly from Patrick. Finally, if I can now take you to Slide 19, balance sheet and funding. You will remember that in FY '25 Qube completed a number of capital management initiatives, which together continue to place the business in a strong balance sheet position. During the first half of FY '26, we haven't been required to revisit our debt facility as we have significant available liquidity, which at the end of December '25 was over $1.1 billion. Our average debt maturity is 4.4 years, and we have no facilities maturing in the second half or in FY '27. Qube's gearing ratio reduced to 31.6%, which is at the lower end of the Board's current approved range. overall ore, we retain significant headroom against our bank covenants. Qube maintains investment grade credit ratings from both Fitch Ratings and S&P. That's all for me. Now I'll hand you back to Paul.
Paul Digney: Thanks, Mark. And now Slide 21, the full year '26 outlook by key markets. Across our -- the outlook across our key markets for the full year is generally favorable. In containers, we expect Patrick to perform slightly better as well as New Zealand. The outlook for Agri year-to-date has been good, although the remainder of the year could moderate due to global conditions and farmers currently holding on to inventory, which is reflected in the revised outlook for Agri. In automotive, there are some early signs of improvement in the demand for ancillary service in the second half, which is positive. In forestry, we expect that to stay the same as the first half of the year. And while in our resources businesses, we anticipate some improvements, thanks to more favorable product mix and better volumes. This should partly offset that misalignment I spoke about before between contracts ending and new one starting. Finally, in Energy, as I mentioned before, the outlook remains positive for the oil and gas activities However, the new renewable projects will be delayed into next year and will be a benefit to next year's revenue. Now to the final slide, Slide 22, before I take questions. Full year 2026 underlying earnings outlook. The underlying earnings outlook remains positive for the full year, with solid EBITDA growth for the operating division. The outlook for associates also looks positive, largely thanks to the higher contribution from Patrick's. And at a group level, we expect to deliver a solid NPATA and EPSA growth of between 6% and 10% for the year. To summarize, while it's been a very busy half particularly with the Macquarie transaction and the due diligence bubbling along in the background, our half year performance saw us deliver another record result. Revenue improved, margins improved again. Return on average capital employed improved above 10% for the first time and now on its way to our new target plus above 12%. And our earnings per share improved and the outlook remains positive for the full year. Thank you for your time. I now would be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from Justin Barratt from CLSA.
Justin Barratt: My first question, I just wanted to ask about if you could talk a little bit more about your grain trading business. It looks to be doing a pretty good job of materially improving throughput through your operations?
Paul Digney: Yes. Justin, I mean, yes, our strategy has been very successful. A lot of the grain that's moving through our assets is I think more than 50% is our trading arm, pushing that inventory through our terminals and our up-country facilities. So yes, we've been -- we've built a pretty good strategy there. We've kept our product to our customers and through our trading arm fully agile and fully flexible. So Yes. I mean the current conditions, pricing is a bit lower. FX is not working as good as possible for trading, but we're pushing through some good volumes.
Justin Barratt: Okay. Great. And then on Ports and Bulk, your guidance for FY '26 now a little bit softer than your previous guidance. And just noting your comment around the timing between cessation of some contracts and ramp-up of new contracts. I was wondering if you could expand on that comment a little bit for us, please?
Paul Digney: Yes. I mean some areas -- I mean, we've had. Probably in the wind farm sector, we felt that we probably -- from a profit point of view, we do a bit better. There's probably -- setup costs have been a bit more, but we're setting up for the future in Western Australia. Some of the tail of some of the wind farms that we're finishing off at the moment, before other ones start in 12 months' time or so. It's probably been probably not as financially benefit for us. So there's been some impacts there. General Stevedoring turnaround after the industrial. The IR issues last year have improved, but we felt that they probably might improve a bit better. So we're looking for that improvement in the second half a bit. So we're just being a bit cautious there. Iluka Balranald is delayed probably 3 months into next half. So yes, it sort of swings around about. But yes, we are sort of broadly flat outlook for Ports and Bulk.
Operator: Your next question comes from Jakob Cakarnis from Jarden Australia.
Jakob Cakarnis: Paul, Mark, just 2 for me, if I could, please. Can you just talk to the drivers of the CapEx guidance change, please, for FY '26. So just interested in your considerations as you've put that together for us today, please?
Paul Digney: I'll hand over to Mark. Obviously, there's quite a reduction there.
Mark Wratten: Jakob, yes. No, so we spent less CapEx in the first half than we had anticipated and there's an element of that flowing through into the second half. I think we had -- in the initial guidance that we gave in August, we had included sort of what we call, referred to as a CapEx pool. So for acquisitions and we've completed a couple, as I mentioned, $35 million in the first half. We've got a couple that we sort of anticipate may drop in the second half. But overall, we think across the year, it's less than what we sort of had, sort of set as a sort of an amount aside back in August. And then there's just an element of the guide just being very careful around other maintenance CapEx, and we've been not -- I guess, to make sure that we're sweating our assets as much as we could. So I think it's just been a -- it's just maybe an element of first half being a bit too ambitious around when we could spend it. But we've got some really good -- I think some of it goes to what Paul was mentioning earlier around timing. So we've got some project -- really good projects coming up where the CapEx is now more likely to be spent in '27 than it is in '26.
Jakob Cakarnis: Understand that maybe you'll be in a different environment as that goes ahead. Just one final question. I appreciate that there's still a bit of water under the bridge. But for those on the call, how do we think about a distribution of any surplus capital if that exists in the business? And how do we think that around timing with your other announcements and maybe the implementation deed, please?
Mark Wratten: Yes. So if -- per the announcement on Monday morning and you'll see it in the scheme implementation deed as well. Obviously, the cash price is $5.20 but reduced by any dividends that we pay between now and completion, and that's inclusive of the interim dividend that we announced today, $0.0535. So we can -- for the scheme implementation, we can pay a maximum of $0.40 of dividends overall. And the whole idea around that, Jakob, is to say to try and optimize our franking credits. We've got quite a large franking credit balance and we're trying to get a lot of that to the benefit of shareholders between now and completion. So you'll see that we've got the ability to pay a special dividend within this -- agreed with Macquarie. And we'll seek, per the note -- in the announcement, we'll seek ATO class ruling to make sure that, that's all dot the I's, cross the T's, so to speak, in regards to those franking credits for any special dividend being available to shareholders.
Jakob Cakarnis: Mark. So am I right in thinking that, that occurs, sorry, in terms of timing as the deal is closing? Or is there an interim milestone that we need to keep in mind?
Mark Wratten: No. So obviously, if the deal dragged into the second half of this calendar year, Jakob, and we do our full year results, you could expect a final dividend, right, if it's sort of -- if not completed before October, say. Otherwise, a special dividend is likely to be paid immediately prior to the actual completion of the deal. So very -- a few days probably before the actual cash component would get paid. So it would be almost simultaneous.
Operator: Your next question comes from Andre Fromyhr from UBS.
Andre Fromyhr: Maybe just staying on the scheme topic. Wondering if you could give any sense of what are the main regulatory approvals that are going to require you to work on? And what kind of time line you would expect around that?
Paul Digney: Yes. So obviously, ACCC and Feb are the key approvals. And so I mean, I think we're working a time frame between up to 4 to 6 months, potentially that. So yes.
Andre Fromyhr: Are there any particular parts of the portfolio that you've already identified as sort of more in focus from an ACCC approval?
Paul Digney: I mean from our perspective, we don't think there should be any issues. I mean other than actuals around this process. I mean, again, this is not a merger. It's a change of ownership transaction. So there may be a look-through on Port of Newcastle, but the actuals will go through that process. But once they start that process and go through it, they'll understand. The ownership structure and the management structure is totally different. So there's no alignment there. And again, this is just an ownership change. It's not a merger of operations. So from my view, there shouldn't be any issues, but obviously, there's a process we need to run through, and we'll respect that process and so will Macquarie.
Andre Fromyhr: Okay. Then back on the operations. I was just wondering if you could talk a bit more about the drivers of the margin in Ports and Bulk? I understand it's a diverse segment. But I guess that margin has been depressed for a few years now and has come down year-on-year again this period. Wondering if you can talk through the role that demand or utilization side has played there? Or is there cost inflation? Or is it a mix issue? Just curious to understand a bit more detail around that.
Paul Digney: I think for the period, it's just been, I mean, we did call out that bulk would sort of go into a little bit of a decline because of contracts ceasing and that sort of stuff. That we did call out. Actually, it was better than we expected and the way the guys have managed that process. We haven't really seen much wind farm activity which sits in that sector, which is -- which goes through a lot of fixed costs, and it's reasonably high margin. So we didn't get that. The general Stevedoring business, we had products, we had reasonable volumes, but certain volumes, certain commodities and certain ports make more money than other things, in just the way that mix fell out. Probably it wasn't -- hopefully, the second half better with how that product mix goes. There's some stuff that we're working through in that area. I just think it's the period, it's just sort of a combination of some areas of where we would have impacted margins, and hopefully, we can get that improving in the second half.
Andre Fromyhr: Okay. And last one for me is MIRRAT, Wondering if you're able to share what the EBITDA contribution was in the period or even better, like a sense of what a normal annualized run rate is for MIRRAT's EBITDA under Qube's ownership and sort of what your plans are for growing that business? Or is it more just the bolt-on to your existing AAT terminals?
Paul Digney: I haven't got a number in front of me, so I can't provide that. I think we provided maybe a number at acquisition. So we were tracking a little bit lower than that this period because of less quarantine and storage services. So -- but we look at MIRRAT as a long-term asset. And so we're very confident where we're at with MIRRAT.
Mark Wratten: Yes. Andre, when we -- I think the normalized or sort of what we sort of coming into the year is around $30 million to $33 million of EBITDA. And as Paul said, the first half, which is sort of a little bit -- sort of below what we expected, then that $30 million to $33 million is sort of on a full year basis. And that's sort of at a very I guess, at a sort of very normalized run rate without sort of heavy volumes of ancillary services.
Operator: Your next question comes from Samantha Edie from Morgan Stanley.
Samantha Edie: Congratulations on the result and the takeover. I just have 2 questions today, please. So just with the first question. So I can see that the resources outlook has improved, which was guided to be a bit of a headwind in FY '26. And you did have a strong first half overall. But I guess, if we're just thinking about the second half earnings in each of the key markets you provided on Page 21 of the preso, are there any key market earnings there that are expected to go backwards half and half?
Paul Digney: I think I'll probably called out a little bit cautious around -- just around the Agri volumes. I mean, we've done very well to date in regards to the strategy. And there's a lot of wheat on storage and upcountry and that sort of stuff. So we look to continue to push that through. So we've been a bit more cautious on that. Renewable projects is that's not going to change too much. We're not going to see much of that work, so which we expect it to be better. So there are probably 2 areas. But on the flip side of that, I think as I called out, the auto the storage and quarantine services that we have through AAT terminals looks to be more demand for that coming in the second half. It was very light in the first half. Patrick, New Zealand has been really good for us and looks promising in what we've done there, putting those businesses together. So that's been a good sign in oil and gas. There's probably potential slight upside there to offset any of those other things that might be maybe a bit lighter than we would have expected probably a couple of months ago.
Samantha Edie: Okay. That's great.
Mark Wratten: Sam, sorry, I mean it just goes about diversity again, right? That's just -- yes, it's sort of self-protect ourselves through the strategy.
Samantha Edie: Yes. Great. And then just the second question is around Patrick's Fremantle lease. So I think that lease is meant to expire around 2031 unless that's changed. So is this like still the case? And then is it likely that this will be extended? And then can you also talk through what an extension will look like. So yes, just any color around that, please?
Paul Digney: Yes. I think, Sam. The unknown on that is really what happens at Westport and the relocation from Fremantle down to Westport. It's still unclear of time frames on that sort of stuff. So you would assume an extension at Fremont or will occur when that occurs, I'm not too sure. But yes, it will go beyond the current position at this point in time. So I mean, we'll work with the Fremantle Port and the other stakeholders around that and potentially transitioning in the long term, which is a long way away still. There's plenty -- there's still plenty of capacity at Fremantle to operate for decades. So yes, it's -- I think to answer your question, very likely of an extension. I can't give the time frame of when the port would get relocated and when it does and if it does.
Operator: Your next question comes from Nicole Penny from Rimor Equity Research.
Nicole Penny: One follow-up on grain and the comment that you've moved 57% of New South Wales bulk volume. Could you comment on whether there's it clear change in market share you're seeing or whether the volume remains a function of crop volumes, high and solid crop volumes? And secondly, if you could comment on in addition to farmers holding on to grain that you already mentioned. Are you seeing any other structural changes in farmer selling behavior?
Paul Digney: I think just what I called out. I mean, yes, I mean, we've increased our market share, I guess, in the New South Wales market. I'm not to comment about what our competitors do and what we do, but we have done that. I think our strategy has been quite good and quite agile with our customers and what we've built out over the last 2 years. Fundamental changes, I think as I called out earlier, the price of wheat at the moment is a point where -- and I think farmers are holding on for this point in time, but there is abundance of week there. So how it pushes through the system. We'll see how that plays out over the next 6 months. But we're just a little bit -- I guess, we've been able to push grain through. We've been able to source grain, put it through our network, but we're just a little bit cautious with how that's sort of playing out at the moment. So I don't think anything has really changed. I think farmers have decided to not sell as much as they want at this point in time. At some point in time, it's got to push through the system.
Operator: Your next question comes from Owen Birrell from RBC.
Owen Birrell: Just one first question with regards to that special dividend potential. In your slides, you say you have the potential to pay $0.40 per share dividend with franking credits worth up to approximately $0.17 per share. Can I just confirm that, that $0.17 per share is the level of franking credit balance you have at the moment? And if not, where is your franking credit balance.
Mark Wratten: That would be -- we have a franking credit balance is subject to some further work that we're doing, but we believe that at this point in time that we'll be able to fully frank up to the $0.40 that we have agreement with. So yes, we're pretty confident about that. But as I said, we're making sure that -- and you'll see in the little footnote on the bottom of that page that we're going to seek ATO-class ruling, make sure that we pass all of their relevant franking credit integrity rules to make sure that it's fully available to our shareholders or particularly obviously those ones that can benefit from a franking credit.
Owen Birrell: Okay. Perfect. I understand that. And just secondly on the -- again, on the ag business. Obviously, it's been a very good success story for you. I just wanted to get a sense of where your export terminals are relative to potential capacity? A 49% increase to the 1.8 million tonnes exported through your terminals. It sounds like a big increase. But if the -- if FX wasn't a headwind, if pricing wasn't a headwind, where do you think you would have been able to get to with that volume?
Paul Digney: Good question. I mean we still have got extra capacity to push through our network. So the first half is pretty good numbers. I mean, if you double that and plus another 10% or 20%, that would be getting towards maybe capacity in those terminals, but we're still pushing the limits and we still have the ability to expand a bit of that capacity if needed to. So we're in a pretty good spot there.
Owen Birrell: I guess, the origin of my question is that your grain trading activity is effectively running at 0 margin. Actually, it's even less margin than you were doing last year. So you're clearly leaving something on the table. Obviously, you're making it back through your utilization of your physical assets. But at some point, those physical assets get full. I guess the question is, do you then start to take margin through grain trading?
Paul Digney: Potentially. It will just matter to the circumstances of the world grain prices, right? So at this point in time, it's quite low. So if prices are higher, yes, there's probably more margin going forward.
Operator: There are no further questions at this time. I'll now hand back to Mr. Digney for closing remarks.
Paul Digney: Thanks, everyone, for joining the call. I'll be speaking to some of you guys and lady soon. Yes, thanks again for your support, and have a good day. Cheers.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.